Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Canadian Solar Second Quarter 2019 Earnings Conference Call. My name is Lesley and I will be your operator for today. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. As a reminder, this conference is being recorded for replay purposes. I will now like to turn the call over to Ed Job, Managing Director of Canadian Solar's IR Department. Please go ahead, sir.
Ed Job: Thank you, operator. And welcome all to Canadian Solar's second quarter 2019 earnings conference call. On a personal note, I had a great and productive time working with the entire Canadian Solar team in my previous stint coordinating our investor relations program. And after a restful sabbatical, I am happy to be back and I look forward to working with all of you. Joining us today on the call are Dr. Shawn Qu, Chairman and Chief Executive Officer; Yan Zhuang, our Acting Chief Executive Officer; and Dr. Huifeng Chang, Senior Vice President and Chief Financial Officer. On this call, Shawn will provide a brief introduction followed by Yan who will review the execution of our business strategy and Huifeng, who will go over our financial results. We will then open the call to your questions. Before we begin, may I remind our listeners that management's prepared remarks today as well as their answer to your questions will contain forward-looking statements which are subject to risks and uncertainties. Therefore the company claims the protection of the safe harbor for forward-looking statements that is contained in the Private Securities Litigation Reform Act of 1995. Actual results may differ from management's current expectations. Any projection of the company's future performance represents management's estimates as of today. Canadian Solar assumes no obligation to update these projections in the future unless otherwise required by applicable law. A more detailed discussion of risks and uncertainties can be found in the company's annual report on Form-20F filed with the Securities and Exchange Commission. Management's prepared remarks will be presented within the requirement of SEC regulation G regarding generally accepted accounting principles or GAAP. Some financial information presented during the call will be provided on both GAAP and non-GAAP basis. By disclosing certain non-GAAP information, management intends to provide investors with additional information to allow further analysis of the company's performance in the underlying trend. Management uses non-GAAP measures to better assess operating performance and establish operational goals. Non-GAAP information should not be viewed by investors as a substitute for prepared, well, for data prepared in accordance to GAAP. At this time, I would like to turn the call over to Canadian Solar's Chairman and CEO, Dr. Shawn Qu. Shawn, please go ahead.
Shawn Qu: Thanks, Ed. And welcome, everyone. I am excited joining today's earnings call. Before Yan and Huifeng speak to you about our strong Q2 results, I have a few personal words to share. Since my accident and injury in May the outreach to me and my family from all corners of the world within and outside the solar industry have been comforting and encouraging. Thank you so much for your kind prayers and thoughtful support. I am still rehabilitating and making progress every day. I have been communicating with our managers engaging in a company's business on a daily basis over important and strategic decisions. Regarding our Q2 results. First, Yan, our Acting CEO has led the team to accomplish more than what I expected. Once again Canadian Solar has demonstrated the robustness and resilience of its long-term strategy with differentiated business model. I have full confidence in Yan's leadership as a strength of our seasoned team. We’ll continue to execute and deliver solid results in the coming quarters. Second, I'm incrementally more positive in our outlook for the second half of 2019 based on healthier demand for our differentiate product and services in key markets. Improvement in our cost structure, higher capacity utilization rate, solid execution within the Energy Group, also my trouble is now reduced. I have more time to read reports and articles and to deliberate on a strategy for the company and the future of the solar industry. Further stepping back from data operations gives me more time to strategically review the fundamentals of our business model such as how to optimize the structure of the module system solution group and the energy group. My priority remains unchanged, which is to increase the value for the company and our shareholders. With that I would like to pass the line to Yan. Yan, please go ahead.
Yan Zhuang: Thank you, Shawn. We’re very glad that you're joining us on today's call. The key takeaways from Q2 are. One, we achieved strong results for the second quarter with solar module shipments, revenue and gross margin all above expectations. We greatly improved our profitability through solid execution across all aspects of our businesses. Two, we strengthened the executive team to help accelerate efforts to enhance shareholders value. Specifically, Ismael Guerrero Arias rejoined the company to further sharpen the performance of the energy business. Ed Job has also returned to bolster an engagement with our shareholders and the investor community. Three, we continue to strengthen Canadian Solar's leadership position through targeted and high ROI, R&D investments. Four, we remain on track to monetize the majority of the 3.6 gigawatts late stage project pipeline in 2020 or later. And five, as Shawn mentioned, we are incrementally more positive in the outlook for the second half of 2019. We are firmly on track in our business execution and timing. Now, let me go through results for the second quarter. Our strong Q2 results were due to solid execution across the MSS and energy groups, including the many synergies between the two businesses. For Q2, revenue from the MSS business was $673.1 million. Gross margin was 22.8% and operating income was $58.4 million. The better than expected gross margin benefited from a lower blended module manufacturing cost and a stabilized average module selling price. Canadian Solar continues to differentiate and drive value through its premium brand, global sales channels and reliability of quality products. During the quarter, we signed a multiyear module supply agreement with EDF Renewables North America to deliver 1.8 gigawatts of high efficiency BiHiKu and HiKu modules to EDF's projects in the US, Canada, and Mexico. This is the largest module supply agreement in Canadian Solar's 18 year history. In addition, we signed a 500-megawatt supply module supply agreement with Solarcentury for its solar power projects in Spain. A big reason why Canadian Solar is winning is that our products not only provide customers with the best ROI, but also the most favorable financing options from financial institutions. Most recently, Canadian Solar was ranked number one by Bloomberg New Energy Finance in terms of bankability. 100% of the respondents surveyed by BNDES considered Canadian Solar's modules bankable. We're proud of this achievement and the superior recognition from the industry. We're also encouraged by Canadian Solar's ongoing R&D leadership and innovation. We expect to complete the transition of all our cell capacity into FERC by end of August 2019. This will give Canadian Solar a further competitive advantage as we expand by official capacity to meet increasing global demand. Further, we're pleased with the results of the EPC and O&M businesses. We now have 966 megawatts of EPC projects under execution. And a growing O&M portfolio of over 2.9 gigawatts projects contracted globally. Canadian Solar also continues to achieve strong results in the energy business. In Q2, we completed the sale of 228 megawatts solar projects globally. This includes 134 megawatts in the US, 6 megawatts to 8 megawatts in Mexico, 20 megawatts in China and 6 megawatts in Namibia. Last week we completed the sale of around 30% of Brazil's 482.6 megawatt late stage project portfolio. We expect to complete the sale of the remaining Brazilian projects in the coming months. In addition to project sales, we successfully energized the 100 megawatts Cafayate projects in Argentina in July. This is now the country's largest operational solar power plant. In line with our strategy, we will continue to redeploy capital into attractive opportunities to replenish and expand Canadian Solar's late stage project pipeline. For example, in July, we were awarded a power purchase agreement of 25.6 megawatts of electricity in Brazil's latest government auction. We also signed a 32 megawatts power purchase agreement for the largest solar project in Alberta, Canada. Both projects will use Canadian Solar's high efficiency bi-facial modules. In the US, we're working with PG&E to update power purchase agreements, previously signed in 2017 for a portion of the Gaskell West 2 project. This collaboration with PG&E will support California's commitment to 100% carbon-free electricity, while also enhancing the overall value of the project. The investor community has responded favorably to these proposed updates. Our portfolio of late stage utility scale solar power projects, including those under construction was over 3.6 gigawatts as of July 31st. Projects in operation totaled 796 megawatts as of July 31st with an estimated resale value of approximately $1 billion. The competitive strategy is to opportunistically sell projects at various stages, including pre-NTP, NTP or COD based on market conditions. Even the typical development cycle, we expect to realize sales for the majority of our current 3.6 gigawatts late stage project pipeline in 2020 or later. This timing is unchanged from what we have previously discussed. Now let me comment on guidance for Q3 2019. We currently expect total Q3 module shipments to be in the range of 2.2 gigawatts to 2.3 gigawatts, including 160 megawatts of shipments to the company's own utility scale solar projects. Revenue is expected to be in the range of $780 million to $810 million. Gross margin is expected to be between 24% to 26%. This reflects the positive impact of planned higher gross margin projects sales primarily in Japan and the US. The aforementioned revenue forecast does not include the potential sales of a project that may be completed in the third quarter. If the transaction is closed in time, total revenue for the third quarter is expected to be in the range of $970 million to $1 billion and gross margin between 27% and 29%. For the full year 2019, the company now raises its guidance for total module shipments to be in the range of approximately 8.4 gigawatts to 8.5 gigawatts from the previous guidance of 7.4 gigawatts to 7.8 gigawatts. Total revenue for the year is expected to be in the range of $3.5 billion to $3.8 billion. Canadian Solar remains committed to increasing shareholder value by executing on our strategy for the MSS and energy businesses, while strengthening our balance sheet. In addition, we intend to improve shareholder communications to help enhance the investor community's understanding of the strength of Canadian Solar's business model, strategy and performance track record. We look forward to further engage with you. Let me know turn the call over to Huifeng for a more detailed review of results for the second quarter. Huifeng, please go ahead.
Huifeng Chang: Thank you, Yan. As Yan noted, Q2 results were above expectations. We achieved better-than-expected shipments, gross margin, and revenue. The improved profitability reflects the benefits of low cost, high ASP, higher earnings contribution from our unconsolidated investees such as our J-REIT based in Japan and a net gain of foreign exchange. Q2 versus Q1 operating expense dropped from 20.8% of revenue to 11.8% of revenue, which resulted mainly from significantly higher sales turnover. Meanwhile, we reduced the inventory by $47.3 million and improved days sales outstanding by 50 days. Importantly, we generated a $225.8 million cash from operation, which allowed us to further lower total debt and strengthened the balance sheet. Now, allow me to go over the financial numbers in detail. In Q2, total solar module shipments were 2,143 megawatts compared to 1,575 megawatts in Q1. Net revenue for Q2 was $1,036.3 million up 113% sequentially from Q1 and up 69.3% year-over-year. Net revenue for Q2 was comprised of $673.1 million from the MSS business and $375 million from the Energy business. Gross profit in Q2 was $182.6 million compared to $107.4 million in Q1 and $159.4 million in Q2 last year. Gross margin in Q2 was 17.6% compared to 22.2% in the first quarter of 2019 and 24.5% in the second quarter of 2018. These numbers except of Q1 2019 include anti-dumping and a countervailing duty true-up benefits, which were $21.6 million in Q2 2019 and $25.8 million in Q2 last year. Excluding these benefits, non-GAAP gross margin would have been 15.5% in Q2 2019 and 20.5% in Q2 2018. Total operating expenses were $121.9 million in Q2 compared to $100.8 million in Q1 and $105.5 million in Q2 2018. Income from operations of $60.7 million to Q2 compared to $6.6 million in Q1 and the $53.9 million in Q2 of last year. Operating margin was 5.9% in Q2 compared to 1.4% in Q1 and 8.3% in Q2 of the prior year. Foreign exchange gain in Q2 was $16.4 million compared to a loss of $12.6 million in Q1 and a loss of $2.5 million to Q2 of the prior year. We recorded loss on change in fair value of derivatives of $12.5 million to Q2 compared to a loss of $1.2 million in Q1 and a loss of $7.6 million to Q2 2018. Income tax expense was $14 million compared to income tax benefits of $7.5 million in Q1 and a income tax expense of $7.8 million Q2 2018. Net income attributable to Canadian Solar shareholders for Q2 was $62.7 million or $1.04 per diluted share. This compares to a net loss of $17.2 million or $0.29 of diluted share in Q1 2019 and a net income of $15.6 million or $0.26 per diluted share in Q2 2018. Net income attributable to Canadian Solar on a non-GAAP basis for Q2 2019 was $14.4 million or $0.77 per diluted share. This excludes the AD CVD true-up of $21.6 million net of income tax effect. Moving onto the balance sheet. At the end of Q2, Canadian Solar increased its balance of cash and cash equivalents was $438.5 million compared to $370.2 million at the end of Q1. The restricted cash balance was $542.5 at the end of Q2 compared to $542.2 million at the end of Q1. Inventories at the end of Q2 were $337.8 million compared to $385.1 million at the end of Q1. Inventory turnover was 40 days in Q2 compared to 81 days in Q1. Short term borrowings and the current portion of long-term borrowings on project assets at the end of Q2 totaled $1.3 billion compared to $1.4 billion at the end of Q1. Long-term borrowings at the end of Q2 were $462.9 million compared to $433.5 million at the end of Q1. Total debt at the end of Q2 was $1.86 billion, of which $430.8 [ph] million was non-recourse. Short term borrowings and long-term borrowing directly related to utility-scale projects, which include $308.2 million of non-recourse borrowings totaled $640.5 million at the end of Q2 compared to $735 million at the end of Q1. Finally, I'd like to welcome Ed Job back to Canadian Solar team and he is a veteran in investor relations. He has deep knowledge and experience in strategic development, corporate finance and the solar industry. Ed will work closely with Arias and the investor community to improve the understanding of our business and enhance shareholder value. With that I would now like to open the call to your questions. Operator?
Operator: Thank you, sir. Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instruction] We have the first question from the line of Brian Lee. Please ask your question.
Unidentified Analyst: Hey, how is it going? This is Alex on for Brian. Just a couple of quick ones from our side. I was wondering if you could provide a little more color on the Gaskell project? Just potentially why you decided to take the voluntary cuts and where do you think the valuation impact will be?
Huifeng Chang: Hi, Alex. This is Huifeng . First of all, the size of the Gaskell West project is 60 megawatts. So, relative to our late stage pipeline, multiple gigawatts, it's not significant. And second the agreement with PG&E about a 10% reduction in the PPA price is subject to the bankruptcy court and the CPUC approval. Now in that negotiation we will get a delay on the delivery of the project. Exactly I don't have the details that would be couple of years. So, that will allow us to reduce the cost building this project. Now, overall, we believe the project coming out of all these negotiation will remain viable not only for us, but for the future permanent owner of the assets. So everything included. I think this will be a amicable conclusion of this PG&E [indiscernible] this page and then eventually we will deliver the assets and then we will find a buyer that will make the project profitable.
Unidentified Analyst: Okay. Great. I appreciate the additional insight there. I guess to change gears a little. Can you provide information on which project is potentially being sold in the third quarter?
Huifeng Chang: There will be a project in Japan.
Shawn Qu: There is three projects. One of them is in China, one in Japan. The other one is in US.
Huifeng Chang: But the major portion of the potential like we provided two numbers for the Q3. Our revenue guidance and that difference is mainly for the project in Japan. Other projects we believe most likely will be closed in Q3. But for the project in Japan, we think, we may be very likely able to close it in Q3, but there's a probability it may slip into Q4.
Unidentified Analyst: Okay. That's great. Thanks a lot. That's all from me.
Operator: We have the next question from the line of Philip Shen [Roth Capital Partners]. Please ask your question.
Philip Shen: Hi, everyone. Thanks for the questions. First ones are around guidance. I think you took your full year module shipments up by roughly 10%. But revenues are expected to be the same. Can you address why? And then also on your Q4 call, you guys gave guidance for net income in 2019 to be lower than 2018. What are your thoughts on this now especially with the higher shipments? And then which projects are expected, I'll just leave it there on the guidance? Thanks.
Yan Zhuang: So, the first question, actually, we have higher shipment, but then we have less project sales as planned. So that's why you see a 10% up on shipment, but revenue, not much change. That's the first. So your second question, you said something about Q4?
Philip Shen: Yeah, that's right Yan. On your Q4 call, you guys gave guidance for the full-year.
Yan Zhuang: Okay.
Philip Shen: 2019 net income to be lower than 2018. What's your updated view on that now? Thanks.
Shawn Qu: Hello, Philip. This is Shawn speaking. Our 2019 guidance which we provided in Q4 2018 call. It's more or less inline with the 2018 number rather than lower. So the new number is also more or less in line with the 2018 number rather than lower than the 2018 numbers. But as Yan said for the project business. Now we're thinking about some of the project sales, well, maybe what happen in 2019. Therefore, for the whole year, the module shipment number is up, but we kept the revenue number more or less the same as before. But let's see maybe we'll have a pleasant surprise in Q4.
Philip Shen: Great. Thank you, Shawn. Secondly, in terms of China, I know you guys don't depend too much on the market, but it is important for the industry and marginally or incrementally it is important. We know that Q4 looks like it's going be strong. What are your expectations for how China develops in Q1 and Q2 of next year? And when do you think the 2020 policy could be released? We've heard that potentially could be Q1 maybe early April, but what are your thoughts on those topics?
Shawn Qu: Well, Philip, you know my view, my view has always been conservative on China. So, we've talked about it in Q1. At that time I was conservative on the Q2, Q3 result in China. And I think the actual results in the China market more or less reflected my prediction. Now, Yan, do you have more to add on?
Yan Zhuang: Well, I think, there are two things worth to notice. First of all is the project that supposed to be connected by year end and it's leading to Q1. So, you will see some residue volume transfer from 2019 to early 2020. And secondly as you also see some carryover demand for US Safe Harbor module from Southeast Asia that will compete on the same source of wafer. And thirdly, it's important is the Tier 1. Actually in today's market Tier 1 suppliers are actually receiving more and more volume, more and more share of the demand from market that continue to grow that trend continue to grow. So we'll see next year we'll see compared to this year overall demand is flat. I'm not seeing a dramatic demand up that for Tier 1 players with a better product. I think we are cautiously optimistic.
Philip Shen: Okay. Thanks. If I can squeeze in one more. Can you share what the megawatt shipments were to the US in Q2 and what do you expect that to be for the full year?
Yan Zhuang: Q2 for US, we see a increasing trend that the shipment to US is now starting from Q2 is going up. We see Q2 total volume was about 140 - 150 megawatts, but Q3 is stronger. It's going to be higher.
Shawn Qu: 300, 400.
Yan Zhuang: Yeah, it's like up to 300 megawatts in Q3. So, that's the number roughly.
Philip Shen: Great. Thank you, Yan. Thank you, Shawn. I'll pass it on.
Operator: We have the next question from the line of Mark Strouse [JPMorgan] Please ask your question.
Mark Strouse: Yeah, hi. Thank you very much for taking my questions. So, it looks like you took up your year-end plans module capacity by about a gigawatt or so. Can you just provide some color behind that? Should we assume that most of that is in bi-facial or any color there?
Yan Zhuang: Well, so I think the incremental volume is mainly in the second half. The strong demand come from three different sources. One is the US Safe Harbor. It's going to be quite strong in Q2. And China's new policy came actually after our new guidance and that also caused a strong demand up in the second half particularly in Q4. And the third source of growth is the emerging market is getting strong. So that's why I think this is why our total new shipment is going up by a gigawatts.
Shawn Qu: Hi, Mark. This is Shawn.
Mark Strouse: I'm sorry. Hi, Shawn.
Shawn Qu: Hi, Mark. This is Shawn. Yeah, I will add a few words. The new capacity, new module capacity, one gigawatt capacity going to be - all of those capacities are going to be bi-facial compatible and also all of those capacity will support our new module format. You know, we have - we released a new module. We call it HiKu. Basically use a new standard of -- new standard size of the wafer. The 6.5 inch wafers, which provide significant higher per module output, power output. Therefore reduced the installation cost. So all the one gigawatt will be new factories and support this new module product.
Mark Strouse: Okay. That's helpful. Thank you. And then just one quick follow-up the below the line items, the equity and earnings of unconsolidated investees in Q2 is a lot higher than it's been in the past. Can you just go back to what drove that and how we should think about that line item for the remainder of the year?
Huifeng Chang: Okay. First of all, this is Huifeng. The income from the unconsolidated investees for two sources. One is from our listed vehicle in Japan, the JV, that's several million US dollar for Q2. And the other one is that we received a significant proceeds for our road project in Texas, which is a joint venture between us and Southern Company. We own 49% and then remember that about three years ago, there was, when we were building that project, there was a hailstorm after two, and then there was some damage or delay to the project, and now we got the insurance claim payment and then we share the 49% deduct tax. And so, overall, there's another significant income from there.
Philip Shen: Got it. Okay, that's helpful. Thank you, Huifeng. That's it for us. Thank you.
Huifeng Chang: Thank you.
Operator: [Operator Instructions] We have the next question from the line of Colin Rusch [Oppenheimer]. Please ask your question.
Colin Rusch: Thanks so much, guys. Shawn, the strategic work that you're doing. What can you tell us about the evolution of the technology serving the residential market, not just on the AC model side, but the actual cell technology and kind of your expectation for Canadian and how you can creep up efficiency to serve that market?
Shawn Qu: Colin, are you asking me or you're asking someone else?
Colin Rusch: I'm asking you, Shawn.
Shawn Qu: All right, all right. So, now we are a module company, but we also provide complete kit. The total solution for some market. For example the Japan market and now also to Europe market and the South American market. So we have experience, strong experience in module but also some experience in the total solutions. On the module side, clearly, people want to have high efficiency modules. So we have a product specifically designed for that. We call it HiDM product, HiDM pretty much means high-density module or something like that. So, that's one product and also the residential customer pay a lot of attention to the cosmetic effect. Therefore, we are doing a lot in order to give a customer -- a perfect module either perfect black or perfect blue, whatever you want. Now on the system side, we are introducing our own residential inverters and which got pretty good response from market. So, and also the brand name support a lot. The brand name support either our module product and our total solution product. However business model wise, we rely on the distributors network rather than doing the sale ourselves. So, we still see ourselves as a solution provider rather than a distributor. So, that's different from some of our competitors.
Colin Rusch: That's a different one. And I'll have a follow-up with you off-line on the inverter design if that's okay. And then can you give us an update in terms of how you see the development business evolving? Obviously, you're moving into some new geographies and working with some corporate customers. How do you see that business changing over the next call it two to four years in terms of where you're going to be able to work from a geographic perspective and what sort of customer base -- your customer base or what the customer base actually looks like over time as you weave in some of these larger corporate customers?
Shawn Qu: Right. Well, our energy group or the project business. Our main focus is the G20 countries because we are really a risk averse. So, you may get high feed-in-tariff or high priced PPA from some of the emerging markets. But those PPAs are trending PPA. At some point something may happen. So our key focus in energy business are still US, Canada, Japan and some of the countries in South America. So I still see our main focus in those countries. But we also pay attention to some developing countries and we have some breakthrough in some developing countries too. Now, Yan, do you have any comment to add?
Yan Zhuang: Well, I think, in particular in Japan, we see a strong trend of the big profit of self-consumption business model. And we have some well known large profit that has a strong demand from module side for their own self consumption projects with the big volume. So, that's a pretty strong in Japan as well.
Colin Rusch: All right. Thanks, guys.
Operator: [Operator Instructions] As there are no - I'm sorry, we do have a question. We have a question from the line of Philip Shen [Roth Capital Partners]. Please ask your question.
Philip Shen: Hi, everyone. Thanks for the follow-up questions here. We've seen cell ASPs decline meaningfully in recent weeks. How do you expect that to impact your margins ahead, I can imagine, they're positive. But, in general, can you also speak about how you expect module ASPs to trend in Q3 and in Q4?
Yan Zhuang: Actually, in terms of ASP at least for us, we do not see ASP erosion. Actually for -- in some markets, for some products, high efficiency product, we see ASP moving up slightly, not dramatically. Overall, I would say, it's very stable. The ASP trend is very, very much stabilized and into Q4 there's a high chance that there might be some upside opportunity. So, this is what we observe.
Shawn Qu: Now, Philip, we are seeing another interesting phenomena, which is the imbalance of the supply chain. Imbalance, I understand about the supply chain. We don't see much price movement on the polysilicon side. Well, only the price for the casting you know multi-crystalline casting purpose of the polysilicon that price dropped a little bit. For the mono, the polysilicon price remained pretty much flat, and we don't see much change on the wafer price either. But we see a significant change on the solar cell price and what we heard when I heard that on the wafer side, some of the major mono wafer companies were not able to produce as the nameplate capacity either due to some ramp-up issues or due to the electricity supply. You know some of the mono wafer supplier choose to build their factories in remote regions to get the incentive of the electricity or sometime the grid in those remote areas are not reliable. This is what I heard. And on the solar cell side, obviously, there's quite some older building on the over expansion of the solar cell capacity. And since the China capacity didn't take off as people expected. So this is what you will see the solar cell price drop a lot, and it looks like the solar cell price drop caused some module price drop inside China. But we pretty much fell to international market. So, as Chang - as Yan said we haven't seen much price change in our channel.
Philip Shen: Great. Thank you for that color, Shawn. That's really helpful. In terms of your margin guidance, you guys have been providing this segment breakout, which has been very helpful for us. And your margin guidance is for the overall company in Q2 your MSS business had almost 22% gross margin, energy of about 6%. Can you comment on what you expect the margins to be by segment for Q3 and then longer term can we expect a better gross margin out of the energy business in the coming years?
Yan Zhuang: Well, sorry, Shawn go ahead.
Shawn Qu: Yeah, I don't think so. If you read our Q3 guidance, you'll pretty much figure that for Q3. The energy business, gross profit have improved a lot. As I commented before the project business are sometimes lumpy. And we sold some of the high profit project in 2018. Therefore there are some low profit project to be sold this year. So this is what you see in Q2. But overall, the average profit for our project pipeline is reasonably good.
Yan Zhuang: Q3 number, I think, our margin on project side is significantly higher than Q2. So -- but we guided overall profit - overall margin for Q3 is about 28%. So project margin is higher than that.
Philip Shen: Okay. Thanks to you both again. I'll pass it on.
Operator: At this time there are no further questions. I'd like to hand the call back to the speakers for any closing remarks.
Shawn Qu: Hi, this is Shawn. Thank you for joining today's call for your continuous support. If you have any further follow-up questions, please contact our investor relations team and have a great day.
Operator: Thank you, sir. Ladies and gentlemen, that does conclude our conference for today. Thank you for participating. You may all disconnect.